Operator: Welcome to the First Quarter 2013 Taylor Morrison Home Corporation Earnings Conference Call. My name is Adrianne, and I'll be your operator for today's call. [Operator Instructions] Please note this conference is being recorded. I'll now turn the call over to Calvin Boyd, Corporate Treasurer. Mr. Boyd, you may begin. 
Calvin Boyd: Thank you. Please note that some of our comments on today's conference call refer to non-GAAP financial measures, which we believe provide useful information for evaluating our business performance. This information should be considered as supplemental in nature and should not be considered in isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, these non-GAAP financial measures may not be the same as similarly entitled measures reported by other companies. Reconciliations to the most directly comparable GAAP financial measures are available on the Investor Relations portion of our website at taylormorrison.com. 
 We recently closed our initial public offering on April 12, 2013, which occurs subsequent to the end of our first quarter of 2013. Accordingly, the results we are providing today represent the pre-IPO operations of Taylor Morrison Communities, Inc. and Monarch Communities Inc. without giving effect to the reorganization to shareholder ownership. Finally, please keep in mind, everything we cover during today's call, including the question-and-answer session, is subject to the Safe Harbor statement or forward-looking statements within the meaning of U.S. securities laws. This may include statements about our current expectations or forecasts of market and economic conditions, our business activities, prospects, strategies and future business and financial performance. These forward-looking statements are not guarantees of future performance and actual results could differ materially from those suggested by our comments made during today's conference call. 
 I call to your attention the description of risk that could affect our future results that is contained in our registration statement on Form S-1 filed with the SEC on April 12, 2013. Now let me turn the call over to Sheryl Palmer. 
Sheryl Palmer: Thank you, Calvin, and good afternoon, everyone. Thank you for joining us for our first earnings call as a newly established public company. With me on the call this afternoon is: Dave Cone, Chief Financial Officer; Calvin Boyd, our Corporate Treasurer; and Dave Hreha, our Corporate Controller. 
 I'd like to begin with an overview of our results that demonstrates a success of our land strategy over the last 4 years, and then I'll turn to the state of the market. Dave Cone will take you through the financial review, as well as guidance for the second quarter and the 2013 year. Then I will provide an update of the operations of the business, after which we will take your questions.
 Just coming off of a successful IPO, I am very pleased to share with you our first quarter 2013 results. We started the year in a position of strength with 136% increase in net income, continuing our track record of solid financial performance and adding to our trend of more than 3 consecutive years of profitability. The strong results we generated in the quarter demonstrate how our disciplined yet flexible operating platform has enabled us to both perform well during the recent challenging economic environment and allowed us to take advantage of recovering industry conditions. 
 The results we're releasing today are the manifestation of years of preparation and the company's land strategy during the downturn. Our opportunistic land strategy is conscious and calculated and the foundation of our success. The quality of our locations and our land development capability drives new order absorptions, home revenue and margin growth.
 For the quarter, our home revenues increased 66% while closings were 63% higher compared to the year-ago period. In the U.S., home revenue increased 118% mainly due to closings, which increased 96%. As we continue to emphasize price over pace, the average sales price on closed homes in the U.S. increased 11% compared to the 2012 quarter with strong growth generally in all of our U.S. markets.
 The favorable momentum that we've continued to experience in the U.S. during the first quarter reinforces our belief that the improvements in the housing market are structural in nature and founded on strong fundamentals. This includes increased household formation, favorable supply-demand condition, continued affordability and employment growth. These and other factors appear to have set the stage for a strong performance in the housing sector for 2013 and beyond. 
 We continue to benefit from our market position in high-growth homebuilding markets. In the face of increasing demand for housing, availability of new and existing inventory has remained at extremely low levels in most of our markets. In 50% [ph] of Taylor Morrison's markets, resale inventory is at 3 months or less. In all of our U.S. market, resale inventory is at levels that many industry experts consider to be balanced or undersupplied. California continues to have the lowest supply of resale homes with our markets reporting an average of only 1.3 months of supply. These decreased levels of inventory are also being seen in the new home market. Due to the constrained nature of the home supply in many of our markets, prices are increasing. We have been diligently monitoring our sales paces and prices at the community level in order to maximize profitability. 
 We believe Taylor Morrison remains well positioned to take advantage of an improving U.S. housing market. As demonstrated throughout the downturn and nascent recovery, we continue to very diligently manage and execute our land strategy. We are in the desirable position of having approximately 88% of our U.S. land inventory acquired since 2008, the majority of which was acquired or negotiated opportunistically when the recovery wasn't as certain in what we believe to be at very favorable terms. We have the majority of our land pipeline through 2014 already in place and 2015 is shaping up quite nicely. This enables us to continue to negotiate opportunistic land acquisitions, exceptional finished lot opportunities and target development deals where there isn't as much competition.
 We acquired about 2,000 new lots in the U.S. during the first quarter of 2013, bringing the total to just over 45,100 lots in our land bank at March 31, including our proportionate share of lots within our joint ventures. 77% of these lots were owned. Our distribution of lots across the regions include 26,900 lots in our East region, 10,800 in our West region and 7,400 lots in our Canadian operation.
 We are very committed to staying in core locations within our markets where our consumers prefer to live and where we believe we are able to create the most value. As I mentioned earlier, with our land already in place, we are in a fortunate position and won't be forced to compromise on location, terms or financial metrics in order to secure our near-term closings.
 Turning our focus to the Canadian market. We have seen an overall reduction in absorptions but are still pleased to report 3 sales per community per month, which is consistent with our long-term average. Recognizing our Canadian business is seasonal; prices have generally remained stable as demand normalized throughout the slower winter season. As expected, sales have shown signs of an increase once the traditional spring selling season kicked off in April.
 For the 6 high-rise towers to be delivered this year and next, nearly all of the units in our 3 2013 towers are already sold and we have fewer than 40 units left to sell for the 3 2014 towers. Cancellations continue to be at low levels aided by our stringent deposits, mortgage prequalification and Canadian legal requirements of full recourse sales contracts, meaning buyers are truly legally responsible for closing on their unit. 
 Next, a review of our mortgage business. Taylor Morrison home funding continues to provide an important benefit to our overall strategy and delivery. We continue to streamline the home buying process for our customers while driving increased productivity throughout our operation. Our capture rate remains high at 81%. In a few moments, I will share with you an update of our business as we head into the second quarter. 
 Now let me turn the call over to Dave Cone for a financial overview. 
C. Cone: Thanks, Sheryl, and hello, everyone. Today, I will be reviewing our financial results for the first quarter of 2013 and providing guidance for the second quarter and the year. As a reminder, the first quarter results reflect the operations of our subsidiaries, Taylor Morrison Communities and Monarch Communities, without giving effect to the IPO which occurred in our second quarter. 
 For the quarter, net income increased 136% to $24.3 million from $10.3 million for the same period last year. Net sales orders totaled 1,681 units, representing a 52% increase when compared to the same quarter a year ago. Net sales orders in our U.S. operations improved 68% to 1,549 units while our Canadian operations add 132 net sales orders, down 29% compared to the first quarter of 2012. 
 This decline in part was the result of no new towers started that can generate significant new orders for the company in the first quarter of 2013. Also over the last few years, we capitalized on our Canadian business to increase our overall company earnings. While we were successful in driving the Canadian business, these efforts left us with limited product to sell in Canada. Moderation was expected in our Canadian markets as the result.
 The company's cancellation rate was 11% for both the first quarter of 2012 and 2013. We finished the quarter with an increasingly robust backlog of 3,872 homes. Total backlog at quarter end was valued at $1.4 billion. On a year-over-year basis, this represents an increase of 45% in units and 61% in backlog value with nearly an 11% increase in average selling price. Community absorptions increased to 3.4 per month as compared to 3 in the first quarter of last year. Our average community count increased to 167 from 124 in the first quarter of 2012, primarily due to our recent Darling Homes acquisition.
 Total revenue for the quarter was $381.5 million, an increase of over 59% compared to $239.4 million in the first quarter of last year. Home closing revenue was $366.8 million for the quarter, a 66% improvement. The increase was driven by a 63% increase in homes closed to 1,012 during the quarter, coupled with a 1.9% increase in average selling price. 
 In the U.S., home closing revenue increased 118%, closed units increased 96%, while the average selling price increased 11% to $354,000. In Canada, home closing revenue declined 38%. Canadian closed units declined 34% and average selling price was down 6% to $435,000, as we previously sold out of higher-priced communities that contributed to the last year's higher average sales price. Breaking down the mix of closed homes this quarter, 54% were from the East region, 36% were from the West and 10% were from Canada. 
 Closed home gross margins improved to 21.2% during the quarter, 360 basis points higher than the same quarter a year ago. Adjusted gross profit margin on home closings, excluding interest expense, in the first quarter of 2013 improved to 23.4% compared to 20% for the first quarter of 2012. The improvement was driven by a combination of mix and overall price appreciation, as we were able to stay ahead of cost increases. In fact, over 85% of our U.S. communities had price increases during the quarter.
 SG&A expense was $46.3 million or 12.6% of home closing revenue for the first quarter of 2013 compared to 14.7% in the first quarter of last year. We continue to focus on this metric as maximizing overhead efficiency is one of our key strengths in driving higher operating profit. Income before taxes for the first quarter of 2013 was $39.9 million compared to $16.1 million for the same quarter last year. Our income tax expense for the quarter was $15.5 million. 
 Turning to the balance sheet. We ended the quarter with $251 million of cash, including $13 million of restricted cash. As you know, we've successfully launched our IPO on April 12 and sold 28.6 million shares at $22 per share for a total of $629 million. Subsequent to the offering, the underwriters exercised their overallotment option of 4.3 million shares at $22 per share for $94 million. We used approximately $204 million to redeem $190 million of our 7.75% senior notes due 2020. The remainder of the IPO proceeds were used to purchase equity interest from our sponsors and pay related IPO fees. 
 Concurrent with the IPO, we entered into a new $400 million unsecured revolving credit facility maturing in 2017, replacing our existing $225 million secured revolving credit facility. In addition, we issued $550 million of 8-year senior notes at a much reduced rate of 5.25%, the proceeds of which will be used to fund future growth and general corporate purposes. 
 We ended the quarter with homebuilding inventories of 1.7 billion. We had 3,578 homes in inventory compared to 2,540 homes at the end of the prior year quarter. Homes in inventory at the end of the quarter consisted of 2,790 sold units, 207 model homes and 581 spec units. This increase in inventory is consistent with the increases in sales and backlog resulting from higher demand for our homes. As for financial services, Taylor Morrison home funding and title services generated $5.9 million of revenue and $2.4 million of gross profit for the quarter, reflecting increases in mortgage loan originations quarter-over-quarter. 
 Before I provide guidance, please note that this guidance reflects the new public entity, which became effective April 12. For the second quarter, we anticipate closings to increase by 45% to 50% quarter-over-quarter. In addition, community count is expected to increase slightly quarter-over-quarter. Income from unconsolidated joint ventures is anticipated to be between $7 million and $9 million, reflecting the closings in our JV tower, Couture. 
 As previously disclosed, we expect to incur certain charges related to the IPO and the redemption of senior notes of approximately $115 million in the second quarter. These include a $7 million loss on early extinguishment of debt related to the redemption of a portion of our existing 7.75% notes, $29 million for the termination of the management agreement with our sponsors and a $79 million noncash charge associated with the reorganization of our equity partnership. 
 For all of 2013, we anticipate our community count and closings to increase by 50% and gross margins to be accretive from 2012. SG&A as a percent of homebuilding revenue is anticipated to be consistent with last year and income from unconsolidated joint ventures to be between $35 million and $40 million. In addition, the charges related to the IPO and the redemption of the senior notes in Q2 will have the same dollar impact for the full year. 
 Thanks. And I'll now turn the call back to Sheryl. 
Sheryl Palmer: Thank you, Dave. I want to say again how pleased we are with our first quarter 2013 performance. Our continuing strength in backlog at the end of the quarter provides a firm foundation and excellent visibility for 2013 and into 2014. Given the success we have had these last few years, we believe that Taylor Morrison will continue to operate profitably and be among the leaders in the homebuilding industry. 
 We continue to see evidence of a constrained supply of finished lots available for purchase in favorable locations. Fortunately, as I mentioned earlier, we are also a land developer with the expertise to develop our own land supply. Thus, we can ensure that adequate lots are available to meet future demand while also maximizing returns throughout the homebuilding cycle. In fact, we spent $143 million in land purchases and development during the first quarter and $778 million in 2012. As we look to the end of 2013, we plan to continue to increase our community count and are well positioned to spend over $1 billion in land acquisition and development for the right opportunities in 2013. Approximately 1/3 of that is planned development spent. 
 We believe we are one of these few builders that already have the lots for 2014 in place and 2015 is in good condition, allowing us to selectively fill our pipeline for the future. Our land acquisition strategy of providing buildable lots at the right time positions us well into 2014 with our continued focus on profitability first and then gaining market share. We anticipate our 2013 growth to come from across the U.S., led by our Phoenix, Houston and West Florida markets. Our purchase of Darling Homes was a complementary acquisition for us as it expands our footprint in Texas and provides entry into a number of prestigious master plans. Darling Homes serves the move-up buyer with approximately 44 communities in the Dallas-Fort Worth and Houston markets.
 From a cost perspective, labor resources continue to be stretched as we see increases in housing demand and builder activity. In some markets, we have seen some longer cycle times as a result. To date, the financial impact of these labor and overall cost pressures have been more than offset with sales price appreciation as evidenced by the improvement in our gross margins. 
 Our operators are experienced in managing through a cost-sensitive commodity environment and they also continue to leverage their relationships with our trade base to minimize volatility and keep them on our job sites with an even flow approach. We are pleased to demonstrate continued quarter-over-quarter improvements in key operational and financial metrics. We believe the macro environment has set the foundation for a continued homebuilding recovery. And our strength as a homebuilder and developer positions Taylor Morrison well into the future. 
 I am very proud of our success and the results that we have been able to achieve due to our hard-working and dedicated employees and our focus on providing well positioned and differentiated homes and communities at a great value. With everything the organization has been through in recent times, our employees' ability to continue to stay focused on the business and drive shareholder value really needs to be applauded. 
 At this time, we will now open the call to questions. Operator, please provide instructions to our callers. 
Operator: [Operator Instructions] And we have Ivy Zelman from Zelman & Associates on line with a question. 
Ivy Lynne Zelman: I guess, I'd love to focus in on your strategy and understanding how you have to balance selling with pricing being strategic and taking advantage of maximizing profit per unit at 3.4 homes per month per community. I think you can talk about the balancing and how you approach each of your communities and think about maximizing value, and also your backlog and how you have to make sure you're not pushing backlog out too far. So maybe just a little bit more elaborated, is 3.4, the magic number, and we should expect to stay at that level? And appreciating the backlog extension as well. 
Sheryl Palmer: Yes. Absolutely. Let's start with the pricing and the 3.4. I think to begin, what I would share with you is what we are quite pleased with the absorptions we got per community as well as the pricing power we've seen in each of our communities. We actually -- when we're looking at our sales strategy, it's very project-by-project specific. It's much more at a local community level than at a market level. There are some communities around the country that we limit releases fairly significantly based on the overall competitive environment, the pricing power in that market, trade availability. And then there might be other positions, where we let the machine run a little bit harder. I would tell you that I think it's the overall quality of the communities and our specific sites, coupled with the individual strategy that we have in each of our sites that's created kind of the maximum opportunity that we've seen on both the absorption side, as well as the margin side. We're raising prices in just about -- I think we raised prices in about 85% of our communities in the quarter. So we're really trying to make sure we get the maximum benefit of both. I don't think there's any magic around the 3.4. In fact, we've actually slowed down our pace. In fact, we brought it down even further in April because we want to -- and I'll go to your second question, Ivy. Because we want to make sure that we're managing that backlog. There's no reason to sell ahead of ourselves. When we look at what's happening from a commodity standpoint in the labor resources, we want to make sure that the units that we're selling; we actually know what they're going cost us to build. So it's a balancing act. And what we have now in most of our markets is some pretty good even flow that's allowing us to keep pace with the absorptions that we're seeing. 
Ivy Lynne Zelman: That's very helpful. And then just one follow-up, Sheryl, with respect to -- you mentioned the labor constraints and material inflation, it sounds as if you're managing well through whatever those cost increases and constraints might be. We've heard more recently specifics about utility, not getting utilities to sites. Can you comment on anything that would stand out that's concerning to you? Or is it all, in your mind, manageable? 
Sheryl Palmer: I think we're managing through most of it. I prefer that we don't see the increases, Ivy. But we are and we're seeing them pretty much across the trades. I would tell you they've slowed down a little bit. From what we were seeing last year, there clearly was a catch-up period. But at the end of the day, I think the teams are doing just an excellent job managing through them and pushing back where they just don't make sense. And as you can see through the margin, we're well ahead of that game. 
Ivy Lynne Zelman: I'm going to sneak in one more, Sheryl. On Canada, a lot of concern recently by clients that the Canadian market is rolling over. Can you comment within the Greater Toronto market, in your single-family detached, what you've seen in trends with respect to specifically in pricing in the last several weeks that you've had? And are you worried about it? 
Sheryl Palmer: Yes. I'm glad you asked, Ivy, because there are some questions around it. But no, I'm really not worried about it. I mean, the housing market is stabilizing. It's stabilizing at lower levels from what we saw at the peak for these last couple of years. The overall demand is certainly down from the last couple of years. But as you saw in the paces that Dave went through at 3 per month per community, we actually think what we've got is getting them back to a more normalized level. There's a lot of things that are impacting that. Most importantly, probably some of the work that the financial ministry did to make sure that the market didn't get ahead of ourselves. Very specifically, from a low-rise perspective -- excuse me, from a single-family detached perspective, our biggest challenge is just product availability. As we bring new product to market, we actually still have pricing power in each of our releases. So when we look at the greater Toronto Area and we look at the lack of supply, that continues to be the regulator in that market. 
Operator: And your next question comes from Will Randow from Citigroup. 
Will Randow: I guess, my first question, given your exposure in West Florida on a lot count basis, we're hearing a lot of positive things regarding pricing in that market in the last 2 quarters that aren't evident in national numbers that are broken out like the Case-Shiller. Can you talk about what you're seeing in regards to pricing in that market and how that's recovering? 
Sheryl Palmer: You bet you, I'm happy to. Very similar to all of our markets, as I shared, we're seeing pricing power across the board, Will. If I look specifically at the West Florida market just in the quarter, we saw prices move anywhere in 1 community from just under 1% to well over 6% in the quarter. So we've actually had, and some of that is our new communities, we've introduced a couple new active adult positions that have played very, very well and have been in very high demand. But the West Florida market is actually doing very well for us. 
Will Randow: My second question, and sorry to ask this again, I know we've talked about it, but in terms of unabsorbed inventory in the Toronto market, it's a little frothy in terms of comps. How do you think about that when you're thinking about the market? Obviously, you have risk controls in place, and maybe you can elaborate on both. 
Sheryl Palmer: Yes, I'm happy to. When we talk about inventory in the market, I think most of the challenge is not unlike what we saw here. Sometimes the media doesn't report all the facts. And so when you just put these big headlines out there, it doesn't really tell the whole story. So some of the numbers that we've seen quoted around inventory talks about, let's say, 20,000 high-rise units of inventory. It doesn't mention that almost 13,000 of those units are, what we call, in the preconstruction phase. And those units may or may not actually make it to a construction start. When you actually look at the inventory that's on the ground or under construction, we are very much at long-term norms. That number is more like 6,000 to 7,000 units, and that's about 2.5% of the total condo inventory. So if anything, to date, inventory is not keeping up with -- starts in inventory is not keeping up with household formation. When I kind of bring that into Monarch and our business, as we've talked about, and we look at our towers, we have 6 towers that are delivering this year and next year and those are virtually sold out for this year, maybe a handful of units and a couple handfuls for next year. We really only have 1 tower that's even got an active sales program going, and that would be our Lago tower, and that's in the 70%. So our biggest challenge is we actually don't have the product to meet the demand. 
Operator: And we have Michael Rehaut from JPMorgan on line with a question. 
Michael Rehaut: First question on the -- kind of going back to one of your comments, Sheryl, on the sales pace for April, and it's -- I guess, pace versus price is a topic being bought up on every conference call virtually. But if I look at the year-ago numbers for sales pace, they were right around 3.4, 3.5 in the year ago. And so if you're slowing sales in April versus March, I'm sure there's some seasonality there, maybe March was a stronger sales pace versus January. But would that imply sales pace down year-over-year and the orders would grow more from the community count? 
Sheryl Palmer: Historically, Michael, April generally does trend off a little bit from March. The makeup of your communities change year-over-year. So I would probably point you there first. For example, obviously, this year, we have the Darling communities within our portfolio, well we don't operate those at the same pace on a per-community level than we would some of our other price points. So year-over-year, once again, we are actually -- last year, I think the machine was probably running a little harder as we were entering into the recovery phase. Now we are being very, very diligent from a pricing standpoint. And so yes, if we believe it's the right thing to do to slow down pace to make sure we're maximizing margins, that's exactly what we would do. 
Michael Rehaut: Okay, great. That's very helpful. I appreciate it. The second question on the gross margins kind of leads into the next question, talking about going from pace to now price. But with the very strong year-over-year improvement that you've seen in the first quarter, I guess, maybe a two-parter, if I could sneak an additional one. Yes, a la previous questions. But number one, if it's possible at all, if you have a sense of what portion of the year-over-year improvement was driven by mix versus pure price? And number two, now with -- as you look forward into the year, I know the guidance, you just kind of said continued year-over-year improvement for gross margins, but certainly that's a pretty healthy year-over-year notch on the first quarter versus 1Q '12. How should we think about the year-over-year improvement for the remainder of the year? 
C. Cone: Sure. I'll start probably with probably the last one first on the improvement as we look out for Q2. So we didn't give any specific guidance, as you said. But we do expect to see some accretion. The spread might not be as much as in Q1, couple things that are going on there. One, if you look at Q2 of last year, Michael, we had purchase price accounting adjustments related to our 2001 acquisition and -- sorry, 2011 acquisition. And that compressed margins a bit as it did in Q1 also. As we move into Q2 and Q3, that's going to lessen that impact, so we're not going to get that tailwind into Q2 and Q3 of this year. And then we're also going to have a bit of headwind again from purchase price accounting but this time on the Darling acquisition. So if you look at that, that's kind of some things that we're up against that are more on the one-time nature. But we still think we have some pricing power, so there's obviously some opportunity to get some price ahead of cost, and then obviously a little bit of mix shift as we continue to focus on that first- and second-time move-up buyer. And then I'm sorry, what was the first question again? On the pure price versus mix. On that one, what I would say is for what we got on the price side, we gave back about half of that in mix, and that was primarily due to regional distribution. So as you saw, the West has picked up quite a bit and the West has a tendency to have a little bit lower margin than, say, the East and the Canadian side, as well as the Darling piece that's there in the East. So we did lose a little bit just from that overall distribution of the West gaining strength. 
Operator: And we have Dan Oppenheim from Credit Suisse on line with a question. 
Daniel Oppenheim: Just a quick question. Just wondering if you can comment on just the overall integration of Darling and how that's progressing at this point as you're seeing it through sort of the spring season here. 
Sheryl Palmer: Yes, I'd be happy to. I would tell you the integration is going really quite well. We recently appointed a Division President in the Darling Houston business, so now we have it fully staffed. It's always a transition, but I think that all in all, when I look across the board, I couldn't be more pleased. Culturally, it's been a very good fit. I think the team members are very aligned. We have a lot of passion in both the Darling and the Taylor Morrison, and they're working well together. We have started some of the IT integration. We should conclude that probably early fall, maybe late summer on our ERP system and that would be the final piece. So as we look at kind of integration in the land process, kind of the opportunities we're seeing in the market from a capital perspective, really I put a check mark almost across the board. We're really quite delighted and we have great expectations as we continue forward. 
Operator: And we have Adam Rudiger from Wells Fargo on line with a question. 
Adam Rudiger: You mentioned, I think, over 500 specs in your prepared commentary. And I had kind of gotten the impression that, that wasn't as big of a focus for you. So can you outline what the spec strategy is and, I guess, correct me if I was wrong? 
Sheryl Palmer: Yes, no problem. The spec strategy, very similar to our pricing strategy. That's a community-by-community discussion. And with our mix of attached product, it kind of skews the per-community spec count. But I would tell you, in general, I probably wish we had a few more. We don't on average have one completed spec per community. But generally, we've been running -- the ideal environment would be 3 to 4 total specs per community, once again accounting for where we have attached units. 
Adam Rudiger: Okay. And then just to clarify, Dave, your guidance, when you mentioned quarter-over-quarter, that's, just to be clear, that's sequential, you mean by that? 
C. Cone: No. That would be year-over-year. 
Adam Rudiger: Year-over-year. Okay. So what does -- I'm trying to do my math real quickly then. And I'm just trying to think about what that means then for -- you've got a much slower backlog conversion, I think, this year. Can you give us any guidance on how you expect that to trend for the year? 
C. Cone: Backlog conversion is a tough metric for us just because we have the high-rise product in there as well. So it's typically a bit lower for us. So that's not one that we spend a lot of time on. We're focused a little bit more on the absorption side of it. 
Sheryl Palmer: And generally, Dave, would you add that everything that we have, pretty much everything in the U.S. right now that we have with a few exceptions is still going to close in 2013? 
C. Cone: Yes, that's correct. 
Operator: And we have Jeff [ph] from [indiscernible] on line with a question. 
Unknown Analyst: Hopefully, a clarification, doesn't count against my 2. Did I hear you correctly; you said that the Lago has bumped up to a 70% presale rate? I think the last numbers we had out of the S-1 were back to year-end '12. Is 70%-- 
Sheryl Palmer: You did. I actually think it's like 72%. 
C. Cone: Yes, 72%. 
Unknown Analyst: Okay. Do you have Picasso while we're on this subject? 
Sheryl Palmer: Picasso is in -- it's high 80s, if I am not mistaken. 
C. Cone: 86% at the end of the quarter. 
Sheryl Palmer: Okay. So 83% at the end of the quarter. 
Unknown Analyst: Okay, great. Dave gave a lot of specific guidance. Looking at the land sales, though, obviously that number bounces around every quarter. But given your comments around being pretty comfortable with your 2014 positioning, is there -- can you help us out in any way to think about modeling that number out? Is that number -- should that number decline? Or should we think about a comparable run rate on the land sales, assuming you've got some visibility on the land strategy per your earlier commentary? 
C. Cone: It's going to be lumpy from time-to-time, a couple of things are going to be in there first. We do sell lots to our JVs, which is why you don't see much of a margin on the land sales. But we're always looking at our communities to determine if there is a strategy there to sell that to other builders or if we're going to make a greater profitability by developing it and selling it ourselves. But from a modeling perspective, I think a run rate is what you see now is pretty safe. 
Sheryl Palmer: Yes, I think I would agree with that. I think generally what you've seen is what we expect. If we look forward, we might assume that we're going to -- lot sales will always be a healthy part of our business and our larger master plans, but we'll continue to evaluate that and kind of on an as-needed basis to make sure that we're not better served retaining them for our homebuilding operations. 
Unknown Analyst: Okay, great. And then the margin in financial services seemed to come in a little bit in the quarter compared to sort of the annualized run rates we've seen. Anything in the quarter specifically that would have caused that or how to think about that? 
C. Cone: Yes. No, it's just more of the timing in the year. That's just more or less how the first quarter works. 
Operator: We have no further questions. I will now turn the call over to Sheryl Palmer, CEO, for closing remarks. 
Sheryl Palmer: Well, thank you, everyone. We really appreciate everyone attending our first earnings call and wish you a very nice day. Take care. 
Operator: Thank you, ladies and gent